Operator: Good morning, and welcome to the CME Group First Quarter 2012 Earnings Call. As a reminder, this call is being recorded. At this time for opening remarks and introductions, I'd like to turn the conference over to John Peschier. Please go ahead, sir.
John C. Peschier: Thank you, and thank you, all, for joining us. Craig, Gill and Jamie will make some introductory comments, and then we'll open up the call for your questions. Terry, Bryan Durkin and Kim Taylor are on the call as well. Before they begin, I'll read the Safe Harbor language. Statements made on this call and in the accompanying slides on our website that are not historical facts are forward-looking statements. These statements are not guarantees of future performance and involve risks, uncertainties and assumptions that are difficult to predict. Therefore, actual outcomes and results may differ materially from what is expressed or implied in any forward-looking statements. Detailed information about factors that may affect our performance may be found in our filings with the SEC, including our most recent Form 10-K, which is on our website. Now I'd like to turn the call over to Craig.
Craig Steven Donohue: Thank you, John. Good morning, and thank you for joining us today. Before I turn this over to Gill to review our first quarter performance, I wanted to just say that our succession transition has been going extremely well. As I'm sure everyone appreciates, the close working relationship and teamwork between me, Gill and Terry over these last 9 years is making this transition very easy. Since the announcement of my retirement, we have been, and are continuing to transition internal responsibilities. We've also been spending time with our customers, partners and industry colleagues to ensure a smooth hand-off in areas where I was playing a more active role. Given our exceptional progress, I would expect that the formal part of my transition can be completed very soon, and likely prior to our annual shareholder meeting. This will give us the ability to accelerate Gill's assumption of the CEO role and ensure that we keep moving forward with purpose on the execution of our global growth strategy. Given that this will be my last earnings call, I want to thank each and every one of you for your friendship and support during this last 8.5 years. I will miss interacting with you, but wish all of you and my CME Group colleagues much continued success. CME Group is a strong institution with great people, great products and great partners, and I will enjoy watching the company thrive and prosper with your continued support and Gill and Terry's leadership. With that, I'll turn it over to Gill.
Phupinder S. Gill: Thank you, Craig. The CME Group has certainly been blessed to have had Craig at the helm over the past 8.5 years. During -- I'm on to the report now. During the first quarter, global trading volumes were impacted by low levels of volatility. The uncertainty about market direction has lead to greater focus on the release of economic data that measured the overall health of the economy. While concerns remain, there are some positive signs that an improving economy would bode well for our product set as the trading community responds to better news. With that as a backdrop, I'm going to spend my time today talking about the areas that are well within our control. And those include product technology and clearing offerings. We have accomplished a great deal during the first 90 days of the year. Let me provide you with some examples. First, in terms of products, a couple of takeaways. Our volume has been muted, we are performing fairly well compared to our peers in several product areas; and second, we have seen a nice pick-up in open interest, which has jumped by 16% from year-end 2011 to 90.5 million contracts. Lastly, we continue to lead the industry with the breadth of our product innovation and our global relationships. Interest rate volume was down from a year ago, but down significantly less than our European peers. Although volumes, for us, have been hindered on the short end, it is important to note the deepened liquidity in the middle of the curve has helped. For example, at the beginning of 2011, we launched Mid-Curve Options on year 4, the so-called blue Mid-Curve Options. This contract averaged almost 250,000 contracts per day in March and was very active as volatility picked up temporarily. Another important innovation was our weekly treasury options, which continue to gain traction each quarter. On Thursday, March 8, in anticipation of the non-farm payroll report, we traded 78,000 contracts and it has become a popular gamma product for our trading economic events. These new products build on the success we had 2 years ago, with our Ultra Bond offering. In addition, longer-dated treasuries, the 10s, the long bonds and the Ultras, are going faster than shorter-dated treasuries. Bottom line here is while others have created look-alike products of our benchmarks, it created new rates products, which are generating revenue and serve as important tools for our customers. On to FX. FX daily Volume was down, primarily due to government intervention in Japan and Switzerland and uncertainty related to the Euro. CME Group's emerging market currencies, which have been a major focus area for us, were up 20% year-over-year. Our total FX open interest exceeded the all-time record set in 2007, 9x in March. Most importantly, March marks the all-time high in CME Group value traded relative to the current FX market leader, with CME Group reaching approximately 96% of EBS volume. Within equities, open interest has jumped 18% from year-end 2011. While down, volumes in our Equity products outperformed the other most actively traded index futures products around the world. Volatility was low during the quarter, with the VIX averaging 18 relative to 30 in Q4, 2011. So within financial products at CME, we are performing well relative to our peers. We have been quite active in terms of innovation in our agricultural product area. We recently announced the launch of CBOT Black Sea Wheat Futures to begin training on June 6, subject of course to regulatory approval. This is an important next step for CME Group as it relates to our new market development efforts in Eastern Europe. In addition, along with the Minneapolis Grain Exchange, we launched the MGEX-CBOT Wheat Spread Options. Within metals, similar to some to the financial products, we have seen a pick-up in open interest, primarily gold, which was up 10% compared to the end of 2011. We have seen continued growth in metals volumes traded during non-U.S. hours, which has jumped from 21% of electronic volume in Q1 '09 to 27% in Q1 2012. Of note, copper trading has increased significantly so far in 2012, the most pronounced pick-up occurring in electronic activity during Asian trading hours. Average daily volumes for copper products increased more than 40% versus Q1 of last year, and now represents more than 15% of our metals volume. Interest in copper has been driven by the supply/demand picture, as well as in the interest in trading copper on the basis of economic growth in Asia, with China becoming the largest consumer. In addition, we also added to our OTC offering by announcing the April 30 launch of Aluminum Swap Futures, based on the Platts index. Increasing industrial demand from Asia and growing competition for resources had lead to increased price volatility in some raw materials. Within energy, the main driver of the quarter was the strength in natural gas and we had an all-time high in revenue on CME ClearPort. While the WTI/Brent spread widened a bit during the quarter, we believe that the reversal of the Seaway pipeline, which will be operational in May, is an initial factor which should help narrow the spread by relieving supply stock in Cushing. Over the last month, concerns about the situation in Iran have decreased and the spread has tightened. From a longer-term perspective, we increased our investment in the Dubai Mercantile Exchange from 28% to 50%. Our goal is to build this product into 1/3 crude oil benchmark that appeals to traders in Asia. Increased trading volumes and wider acceptance of the contracts should encourage producers and buyers of Middle Eastern oil to adopt it as a benchmark for long-term crude sales to Asia. We are pleased to see some very encouraging early signs with a record DME Crude electronic volume day yesterday of 13,000 contracts, as well as expecting April to be the fourth consecutive record trading month. Turning now to the clearing area. Our OTC clearing momentum has continued as customers have huge -- utilized our multi-asset class platform well ahead of the regulatory mandate. To date, more than 1,800 buy side accounts have cleared more than $515 billion in total notional in IRS and Credit Default Swaps, with $283 billion cleared during Q1. In addition, the pipeline is expanding with 2,500 additional accounts currently testing with us and 15 of our intermediaries. We are viewed as the leader in D-to-C OTC clearing in the U.S., clearing more business in Q1 than we did in all of 2011. In rate swaps, we now offer and clear the top 7 currencies, which represent 95% of the vanilla interest rates swap market clearable at CME. Earlier this month, we successfully added Australian Dollars, Swiss Francs and Japanese Yen. We remain focused on expanding this business globally and we plan to launch OTC interest rate swap clearing through CMECE later this year. We will provide portfolio margining of OTC interest rate swap positions in Eurodollar and Treasury Futures house accounts beginning on May 7. The risk reduction achieved will result in capital efficiencies of up to 85%. These are figures that remain unparallel in the industry. We expect the same capital benefits to be available for customer accounts prior to the mandatory clearing date. Based on recent comments by the CFTC, our working assumption for the initial phase of mandatory swaps clearing is in the October, November time period for swap dealers, major swap participants and active hedge funds, while smaller banks and asset managers will potentially follow in early next year. In terms of technology, we had a seamless launch of our co-location services at the end of January, which took considerable effort by our technology and operations group. Based on strong demand, we expect to open the second phase of the facility for customers in the second quarter of next year. We will give more clarity on the additional revenue opportunity later this year. Shifting to our global efforts. In terms of Q1 trading volume, we continue to see faster growth from customers outside the U.S. Our overall electronic volume in Q1 was up 3% sequentially, with U.S. volume up 2%, while volume from Asia and Europe each jumped 10%. We have made significant headway with educational efforts, particularly in Asia, and as we mentioned last quarter, we have a healthy pipeline of new Asian intermediaries, which we plan to leverage. During the quarter, we signed on with the Bank of China to explore and collaborate in the long-term business relationship that will harness the strength of both organizations to provide mutual benefits as both parties grow their global businesses. These efforts include commercial banking and collateral management activities with BOCI's Hong Kong, London and U.S. branches, as well as potential product offerings. We've also further expanded our relationship with BM&FBOVESPA by implementing a cross listing and cross licensing agreement. Under the arrangement, Ibovespa, the main Brazilian stock index, will be listed and cleared by CME Group as U.S. dollar denominated Ibovespa futures. BM&F will launch S&P 500 index futures to be settled in Brazilian real along with WTI futures. In summary, it was a busy first quarter for us and we continue to execute on our plans to position the company for the long- term in an efficient way. Looking out a few quarters and into the next year, we expect much of the uncertainty related to Dodd-Frank to be mostly behind us. We expect our OTC globalization and non-transaction related opportunities to continue to take flight . We are optimistic the U.S. economy will continue to progress in the right direction. It should bode well for our product set and the confidence of the cautious trading community. Now, I will turn the call over to Jamie to discuss the financials.
James E. Parisi: Thank you, Gill, and good morning, everyone. Today, I'm going to review the results of the quarter and then I'll talk a little bit about our focus on efficiency from a financial perspective. Let we start with revenue. While average daily volume jumped 5% compared to the fourth quarter, ADV was down 11% versus the same quarter a year ago when we posted exceptionally strong quarterly average daily volumes due to the impact of significant unrest in the Middle East and the natural disaster in Japan. Rate per contracts for the first quarter was $0.811, which was up slightly from the first quarter last year and the same as the RPC in Q4. Looking at the sequential comparison, various mix-related items offset each other. Product mix was slightly positive to the rates and that was offset by a negative venue mix and member/non-member mix, as member volumes grew faster than non-member volumes. In terms of non-volume related revenue, we saw a 12% increase in the fourth quarter, driven by an increase in market data revenue and the addition of co-location, which launched at the end of January. Total co-location revenue during Q1 was $9.7 million, offset slightly by decreases in other connectivity offerings as customers migrated to co-lo. This revenue is found in the access and communication fees line. Total expense was $323 million for the quarter, up about $4 million compared with the fourth quarter, excluding MF Global items from last year. Turning with Compensation and Benefits expense, this line item was $135 million following the typical higher first quarter seasonal pattern, due to a jump in the FICA and the vacation accrual areas, along with our merit and promotion increases for employees, which typically hit in February. These 3 areas accounted for an increase of $11.4 million from the fourth quarter. In addition, due to the 12% increase in the equity market in Q1, we've booked $4.1 million in deferred compensation expense, which is offset in investment income and was $2 million more than Q4. Modeling purposes, typically every 3% change, up or down, in quarterly equity market value will drive about $1 million of expense in this category. We saw a reduction in headcount during Q1 of approximately 35 positions from 2,737 to 2,702. During the quarter, we incurred approximately $3 million of severance expense as we recognized -- as we reorganize certain functions. In total, the seasonal accruals, deferred compensation and severance related costs resulted in a $15 million increase from the fourth quarter. In addition, we announced internally that we will be offering a voluntary exit incentive plan to a select group of employees, and we will likely provide some detail on this next quarter. At this point, it is difficult to quantify based on the uncertainty of acceptance and the potential to backfill some of the positions. Lastly, we are currently in the process of opening an office in Northern Ireland, which is initially focused on certain technology functions we are augmenting overseas. Our plan is to initially hire between 80 and 90 employees there, which will eventually allow us to reduce consulting costs. In terms of non-compensation expense, in Q1, we recorded $190 million compared to $203 million in Q4 and $185 million in Q1 of 2011. Some specific items to focus on there. We spent approximately $3 million during the first quarter on the index joint venture with S&P, down a bit from the fourth quarter. We had the strongest ClearPort quarter in our history with approximately $83 million of revenue, which increased the ClearPort rebates by $2.4 million sequentially. This is reflected in the license fee line. In addition, co-lo was operational in February and resulted in an incremental to $1.3 million related to depreciation, utilities and maintenance versus Q4. Turning to non-operating income. Last year, during the first quarter, we received dividends totaling $17 million, which included $2.7 million from an investment in IMAREX to $14 million from BVMF. This year, we received $6.6 million in dividends from BVMF, which is paid at the discretion of their board. Our tax rate came in at 38.6%, which included a one-time favorable adjustment. We expect our effective tax rate to come in at 41% for the remainder of the year, which represents the lower end of our original guidance for 2011. Turning to the balance sheet, we had $1.1 billion of cash and marketable securities at the end of March, following the $147 million regular quarterly dividend and the $200 million annual variable dividend, both paid in March. You may have seen the news earlier this week about our sale of the CBOT building. The total sales price was approximately $151.5 million. And based on using some capital losses associated with other portions of our business, we expect to retain more than $145 million of the proceeds. Capital expenditures, net of leasehold improvement allowances, totaled $30 million in the first quarter. In 2012, our CapEx expectations are in the $140 million to $150 million range. A couple of final comments on expenses. For the remainder of the year, the sales of the CBOT building will reduce expenses by approximately $15 million with a similar amount of revenue eliminated. All else equal, we expect second quarter expense to drop by approximately $10 million from the first quarter, driven primarily by a reduction in compensation and building-related costs. Lastly, we expect to close the Dow and S&P contraction during the third quarter and we will provide additional clarity on the impacts for this and the voluntary exit program at that time. In summary, we are very focused on being as efficient as we can to maximize the results while also investing in long-term growth areas like co-location, globalization and OTC clearing. With that, we'd like to open up the call for your questions. [Operator Instructions]
Operator: [Operator Instructions] We'll take our first question from Rich Repetto from Sandler O'Neill.
Richard H. Repetto - Sandler O'Neill + Partners, L.P., Research Division: Anyway, my first question is, so on the expense side, Jamie, the $10 million reduction, can you break that out a little bit with what's going on between the building versus the comp, because the building has the revenue offsets. And just in general on the expenses. You did mention this voluntary exit incentive. If volumes stayed where they are, would you be looking at greater expense reductions over the course of the year?
James E. Parisi: So in terms of the $10 million reduction for the next -- that we anticipate for the next quarter, a lot of that is driven by -- on the comp side, as I said. There's a lot of -- seasonally, Q1 is typically very high for the reasons that I pointed out. Also, as you look at the buildings, you're going to see impacts in the occupancy line and depreciation line and to a lesser extent, the professional fees line. Those will be the key areas where that impacts going forward. And I would take that -- the $15 million of savings that I talked about, and pretty much prorate that over the period from the sale date forward. In terms of overall expense, I think we've been pretty clear all along that we believe that the current situation in terms of volume is cyclical and as a result, we want to be judicious in terms of our expense discipline and not cut into muscles that we end up spending even more later on down the road. So that said, based on the guidance that I gave last quarter, to me, it's kind of clear that expenses moved somewhat as volumes increase or decrease, but those expense changes are much smaller than the revenue changes obviously, as you would expect in a model like ours where there's a lot of operating leverage. So if volumes were to remain at current level, which is down roughly 10% or so versus the prior year, I would expect that our expenses might grow around 1%. But then when you include the building in there, the impacts of the building is likely flat versus the prior year. Remember that the key drivers here, in terms of expense variability as volumes change, are going to be the bonus and the license fees, and those numbers I'm giving you roughly up ones are flat are -- exclude the impact from the disposition of the CMA and Dow and the voluntary exit program. The other thing to think about too is, on the bonus side, there's a certain level when we're more than 20% below our cash earnings target, where there's a cliff and that bonus expense just totally goes away. But that -- we're not close to that level yet. The other thing to talk think about as you're thinking about the expenses for the coming year. We did enter this year with a conscious effort on everybody's part to limit or reduce expenses wherever we can. And you just can look at the baseline expense growth in the slides that we have to see that. And you can also see that we've already been actively managing our staffing growth as I've talked about, flat growth from Q3 to Q4, and then down 35 positions from Q4 to current. Now we're going to continue to look for efficiencies wherever possible, like the fill, the building, the opening of the Northern Ireland office, the voluntary program. And some of the benefits of these programs aren't necessarily going to be all realized this year. There's going to be some upfront costs associated with some them, so that's all worked in there. We're working as hard as we can to reduce expenses.
Phupinder S. Gill: Rich, this is Gill, if I can just add to what Jamie was saying. As you could tell from what he said, the leadership of the firm is extremely focused on expense -- disciplined both in the short term, as well as long term, and while continuing to position us for continued growth.
Operator: Moving on, we'll take our next question from Howard Chen from Crédit Suisse.
Howard Chen - Crédit Suisse AG, Research Division: Just my follow-up -- sorry, my first question is on the CBOT building sale proceeds. Do you expect those to go towards the dividend, maybe some share repurchase as the stock remains weak? Or allocate it towards something else, Jamie?
James E. Parisi: I think we're going to be very consistent with what we've said in the prior call in terms of any -- at the end of this year, we're going to look back and see what cash we've got on the balance sheet and review whether or not it make sense for us to do that -- the variable dividends for next year. And that will -- these proceeds will play into that.
Howard Chen - Crédit Suisse AG, Research Division: Okay, great. And then just my follow-up question, maybe one for Kim or Gill, is on OTC clearing. We can certainly see the nice pick-up in volumes ahead of mandatory clearing requirements. But I'm just curious what if anything you're seeing or hearing as the Moody's review becomes kind of up front of mind in both the clients and the dealers. Are you seeing any kind of acceleration in activity or conversations around that potential event for the dealers.
Phupinder S. Gill: I'll start, Howard, and Kim might want to add since she's on the ground with this issue. I think what you're seeing, particularly now, is more and more clients are testing. It's not on-boarding with us because in recent conversations with the CFTC, the expectation is that mandatory clearing would be here before the end of the year. And there's a certain amount of excitement, particularly as it relates to the cross margin offset where we are in the best position to provide the most efficient margining offsets, both for initially the house account and by the third or fourth quarter of this year, the whole business when we extend it to the client account. Kim, do you have anything to add?
Kimberly S. Taylor: I think you've rightly identified that counter-party credit concerns are one of the issues that customers look at when they're thinking about moving their business to the cleared environment ahead of the mandate. SO I think that, that will continue to be the case as people evaluate the aftereffects of the Moody's downgrade. I think, also, there are a couple of factors, the downgrade being potentially one, and I think further work developing the capital costs associated with Basel 3 and some of the banks that will also be starting to drive some interest and perhaps more B2B, as well.
Operator: Moving on, we'll take our next question from Jillian Miller from BMO Capital Markets.
Jillian Miller - BMO Capital Markets U.S.: So it sounds like on the call, in your comments, you referenced yourselves as a leading dealer to client OTC clear in the U.S. And I mean that's definitely the case that also kind of highlights the fact that there's not a whole lot of dealer-to-dealer going on in your market. So I just wanted to kind of get an update on what piece of the market you're really going after. Are you happy being a dealer-to-client solution, or do you think it's possible and do you want to get some of that dealer-to-dealer volume? If so, what do you do to go after that?
Phupinder S. Gill: Jillian, this is Gill. I'll start again, and Kim might want to add. From our perspective, as you know, the sweet spot for us currently, is the dealer-to-client side where we have been appealing to the buy side who have expressed some concerns with respect to counter-party risk, and so they have come on board pretty much very enthusiastically from a capital efficiency point of view to the extent that they continue having the momentum of the D-to-C trades that we have been seeing. It becomes, I think, very capital efficient for the dealers themselves to basically pass a lot more out their to all of their trades at the CME in order to achieve that capital efficiencies that they can't otherwise get. So our expectation is that over time, you would see a healthy balance between the D-to-C trades, as well as the D-to-D. So our ambition is, if you will, is to harness both of those activities. But currently, we are seeing very, very strong activity on the D-to-C-to-C side.
Kimberly S. Taylor: And I think I would only add, just a follow-up to something that Gill had already mentioned. In addition to tracking the client business and thereby making it efficient for the dealers to put their offsetting transaction here, we're very focused on being capital efficient for the dealers in general. The first thing that's coming in that regard for countries is the risk offset between the dealers future positions here and the interest rate and the interest rate swaps that they have. And on some of the estimates, there are let's say, significant collateral cost associated with them.
Jillian Miller - BMO Capital Markets U.S.: Okay. Just as a follow-up, you guys mentioned you're going to be launching a bunch of cross-listed products with BM&F this year. Just trying to get your thoughts on how we should be thinking about the size of that opportunity? And when you look at your relationship with the BM&F, what is the most important piece to you? Is that the order routing you've already rolled out or is it more of these cross-listed products?
Phupinder S. Gill: If you look at our relationship with BM&F, actually, it's a very comprehensive one. It includes a couple of dimensions, one -- several of the dimensions you've already mentioned, in addition to that is the joint development effort that we undertook some time ago. And we're also working with that client base and the regulatory authorities there to make it easier for trades to flow, both north and south, as well as south to north, with particular focus by us in the south to north trades. And so it's a bigger relationship than that. With respect to cross listing, I think it addresses a very important opportunity, both for themselves, as well as for us. And when you have these activities that you see CME engage in, where cross licensing is concerned, whether it's India or Brazil, we are looking at these economies that are by and large closed, but yet with an interest express by a client base to trade particular products, either it's CME or at Bovespa. And so by lifting these products on either side, it exposes each of our client bases to the liquid products that we have. And I think it's a long-term venture on our part to grow the volume. In Ibovespa, taking that as a specific example, it's a phenomenal add-on to what is already a world-class equity complex that we have. It provides our client base with further diversification.
James E. Parisi: And I think, Gill, when you look at the -- in the first quarter, when you look at the financial impacts and the revenues that we've achieved from our relationship with Brazil, in terms of the software agreement that we've got them, the co-development agreement, we garnered around $1 million or so and fees tied to that. But then when you look at the fees that we're generating in South America from transaction fees, it's a multiple of that. It's in the first quarter, somewhere on $5 million or so fees that we generated from people trading in our products and our platform from South America.
Operator: We'll take our next question from Alex Kramm, UBS.
Alex Kramm - UBS Investment Bank, Research Division: Just wanted to talk about the volume environment a little bit more. Obviously, Gill, you gave a lot of color by product and what you're seeing there. But can you talk a little bit about, in case I missed it, about the customer mix? And if you've seen any changes, in particular, on product-by-product basis? Is it fundamental users that have been cared back, are there any particular reasons? Or are you seeing other, like high-frequency traders pay back a little bit? Or has the mix really not changed and everything is just soft right now?
Phupinder S. Gill: Yes, we don't give out exact numbers, but I think it's safe to say that the volume has been down across the board. What's been encouraging about the volume in some of these asset classes is there has been a percentage tick-up in activity in participation like activity among the commercial, as well as some of the individual prompts. And this is specific to an asset class like foreign exchange. What is encouraging, though, is the overall tick-up from year end in terms of open interest. So while volatility is dampening, the volume activity of our client base, the open interest across the board is up about 15% compared to year end last year. And they're seeing a pick-up in activity from the asset managers. Bryan, do you have anything to add?
Bryan T. Durkin: No. I just think it goes to the efficacy of the sales program that we have in place. We've got new users coming in to some of these products, as Gill alluded to on the FX side, where we saw some decreases in certain client segments. We've seen new client segments coming in and doing a substantial uptake in the foreign currency product, particularly in the emerging markets. And these are generally position holders, which is a good signal for the future growth of that complex. And it's a similar trend we're seeing in our other products.
Alex Kramm - UBS Investment Bank, Research Division: Okay. And just a very quick one for Jamie here. On the transactions fee line, clearly, if you just look at the volumes, the 3 or 4 and the RPCs, you'd obviously get a little bit of smaller number. I think the delta is the $1.6 million, obviously, very small. I assume that CMECE and also the swaps clearing, can you just give us a flavor of -- is that actually true? And then also what this business are contributing, I know very small, but just so we have an idea?
James E. Parisi: Yes. In terms of the OTC, it's still obviously in the very early stages, but revenue in the first quarter, which is in the transaction fee line, was in the neighborhood of roughly $2 million.
Operator: Next, we'll go to Ken Worthington with from JP Morgan.
Kenneth B. Worthington - JP Morgan Chase & Co, Research Division: You mentioned kind of record activity at ClearPort. As you kind of look forward for the rest of the year, what is your outlook there and what are the key things that, I guess, either you or we, should be focusing on?
Bryan T. Durkin: Couple of things. It's Bryan. You need to keep an eye on the acceleration of our capabilities to roll out a product, particularly on the agricultural, as well as in the general -- I mean, energy, as well as the agricultural sectors. What you're seeing is an increase in the introduction of esoteric OTC structured-type products that is showing our direct responsiveness to the client base and that is accelerating. I think our efforts and our performance overall, with respect to ClearPort. The focus as well on the OTC interest rate side of the equation is also something that transcends itself into some of our other core product mixes. So we're seeing some similarity in users and new users coming in accessing ClearPort.
Kenneth B. Worthington - JP Morgan Chase & Co, Research Division: Excellent. That's helpful. And then just on Slide 5, on the volatility charts, the strong indication that recent volatility has been at lower levels. As you think about volatility over a longer period of time, say over 10 years and 20 years, what does that tell you about the level of volatility? Are we getting back to normal volatility levels? Or is it really unusually low volatility levels that, over a longer period of time, should rise? And then, I don't know, maybe 10 to 20 years isn't the right time period. Maybe it should be 5 years if the time period is better in the shorter term, maybe address that as well?
Phupinder S. Gill: This is Gill. I'll start and I don't know if anybody has anything else to add here. But predicting volatility on a going forward basis is not something that we would know or know how to do. I think -- but if you look expectations or what the general market expectations are with volatility levels as low as they are now almost across the board, you can expect a pick-up. The question becomes when, right? And on the rate side, for example, given the Fed announcement yesterday of continued no Fed action to the end of 2014, there is no real consensus among, even in SBF or MC with some people's dissension -- with some dissension there, so I think the uncertainty and the dialogue around the uncertainty of when the Fed will actually move is going to bode well for the CME Group's market with respect to the commodities for example, that's going to be highly dependent upon things that are essentially out of our control: weather, demand. But given, in general, the volatility patterns that we are seeing, the expectation is it's going to be up and I can't tell you, Ken, if it's going to be the next 3 years, 5 years or 10 years.
Terrence A. Duffy: This is Terry Duffy. I think one of the interesting things about volatility and looking at traders' behaviors, is volatility might be low, but prices are already either all-time highs or all-time lows, which is only telling you one thing: volatility has to increase. If you look at the price of nat gas at a 10-year low, you'll look at the price of WTI and Brent at an all-time highs, you'll look at the price of the interest rates, as Mr. Gill said, is lows. And food products are trading at very high numbers, but the volatility being low. So we're looking at historical prices, both low and high, but no volatility. That equation has to change. It's only a matter of pure fundamentals. It will change.
Operator: Moving on, we'll take your next question from Michael Carrier, Deutsche Bank.
Michael Carrier - Deutsche Bank AG, Research Division: Just a follow-up on the expense side. So I just want to make sure, when we're talking about the $10 million reduction this quarter, that topped the $323 million. And then if we are in a environment where the volumes are -- this is relative to what you guys gave the last quarter, so the 2% to 3% expense increase for -- at a low-volume environment. But if we are on the negative side, besides the bonus comment that you mentioned that, that can decline, any other areas that you can pull back, and if you can size that like the level that you need to be for that bonus to come down and how significant that could be?
James E. Parisi: I'm not going to cite exactly where the bonus cliff is, but as I said before, it's minus 20% off of our internal cash earnings targets. And just in terms of -- because of the operating leverage in the model, it is very difficult for us to reduce expenses without cutting into muscle over time, so we want to be very careful around that when we're just in a cyclical low. So if we're down at volume levels like we are today, down 10% and that were to persist throughout the year, I think that we'd be somewhere in the flat range in terms of expense growth versus last year. And of course, on top of that, we'll look to see where we can to reduce other discretionary expenses. But that's the best I can give you at this point. And as the quarter progresses, we'll give you some further updates because of the disposition of the Dow and CMA and the voluntary exit program, those are all somewhat -- those all have impacts on the expenses going forward and we'll give you more detail on that next time.
Michael Carrier - Deutsche Bank AG, Research Division: Okay, that's helpful. And then as a follow-up, just on the OTC comment, you mentioned around $2 million in the revenues today. So when you think about the traction that you've gained in terms of clients and the amount of open interest that they control, is there any expectation as you get into the back half of this year, or the end of 2013, on where that revenue can get to? And then just on the co-lo, I just wanted to clarify, I think you gave what the amount was, you got a full quarter of a run rate, do you have that number, just going forward?
James E. Parisi: Well, on co-lo, I would love to -- again, we only got 2 months under our belt, so I would look to the guidance that we've given previously of $40 million to $45 million for the current year. And your other question was on OTC?
Michael Carrier - Deutsche Bank AG, Research Division: Right.
James E. Parisi: Expectations? Again, we're so early in the process, I don't think that we want to put any expectations out there for the current year. You can look at what we said in the past about what we charge per million or what we expect to garner per million in term of revenue in the interest rates swap sides, $5 to $6 on the CDS side, we've said $7 to $8. I think if you look at the most recent quarter, we were in that range, probably between $6 and $7 per million. So I would use that to model.
Operator: And moving on. We'll take your next question from Matthew Heinz, Stifel, Nicolaus.
Matthew S. Heinz - Stifel, Nicolaus & Co., Inc., Research Division: Wondering if you could just illuminate the London strategy a little bit for me, maybe in terms of how you expect to leverage CE IRS clearing to help jump start the Dry Core [ph] business there. I guess, in the similar fashion to what you're doing in the U.S. with cross margining swaps and futures?
Bryan T. Durkin: Well, I'll start, it's Bryan. Definitely, through our intensified footprint in Europe and our introduction of the CMECE clearing offering that we have, we have targeted that client community in the context of managing their OTC interest rate exposure and we have found a very strong interest and being able to provide that offering locally within the European region. We have intensified our efforts and focused to introduce those products to respond to those regional demands and concerns. We also see that by doing so, it is resulting in equivalent new interest in a number of our core products. So by having that offering coming on the horizon in the very near future, we are bringing in the beneficiary of bringing in new business in multiple asset classes from the local region.
Phupinder S. Gill: Matt, this is Gill. Just to add to what's Bryan is saying. I think one of the questions you had was with respect to the potential for cross margining between CMECE and the U.S. side. As you may know, we had a long-standing arrangement with the LCH across margining some years ago and we've begun the conversation with both the FSA and the CFTC on allowing CMECE's portfolio to be cross margined with the clearing offering here. Now in light of the implementation of Dodd-Frank and their -- and this going to be viewed in a different light, so we don't have any guidance to give with respect to that just yet. But the conversations are beginning now.
Kimberly S. Taylor: This is Kim. If I could just add in, with respect to the rates offering at CMECE, we are getting good customer response to some of the features that are part of our U.S. offerings, the immediacy of clearing, the simplified workflows, the product sets that we have. Those are resonating with the customer base in Europe as well.
Matthew S. Heinz - Stifel, Nicolaus & Co., Inc., Research Division: Okay. I really appreciate that color. And then just as a quick follow-up. You talked a little bit what's impact -- the government intervention impacting the Asian currencies, and I appreciate that. But what do you think has driven kind of the slow down in the major European currencies? And then I haven't looked at the breakdown in a while, but what's the share or the breakdown between your G7 and your emerging market currencies in the FX business?
James E. Parisi: With respect to the slow down on the European side of the equation, it really is an overhang from the European debt crisis and the intervention with respect to those main currencies that would be tied to it. With respect to emerging markets, we're very, very excited about the continued trend and the increase in open interest, as well as volume in the emerging sector. The open interest is very high across the board for all of our foreign currencies and we're going to continue to intensifying our efforts. We've seen there a wonderful uptake, in particular in the Mexican peso. And I think your other question was the breakdown. 75% of the volume is centralized in the G7s. So when you look at that, and if you see those trends that have occurred over the course of the last 2 years, there's been a substantial uptake in the emerging market, and we're continuing that focus.
Operator: Moving on, we'll take our next question from Brian Bedell, ISI Group.
Brian Bedell - ISI Group Inc., Research Division: A couple of questions. I just -- first one on your product -- on your customer mix, obviously, you guys are doing a very good job in building organically the customer base in some of the new customer types that you alluded to Bryan. But if we look at, I guess, the usage of high-frequency trading within the mix, I mean, to what extent do you think seeing lower high-frequency usage based on lower volatility and the multiplier effect that you typically get with volumes versus the extent that there's potentially a structural change would just lower participation by high-frequency shops. I guess when we think, if volatility comes back, do you expect to save the type of move back in volumes?
Bryan T. Durkin: An excellent question. We have seen some reduction in the overall performance of the, what would be categorized as the more proprietary, high-frequency traders across asset classes. What's very interesting, and I alluded to earlier, is the significant uptake across other client segments into these same products. So if you take a look at the interest that we're seeing evolving, particularly from the corporate side of the equation, I think historically, we have focused very much so on the commercial users of the markets with our client segment team that is very focused on both corporate and commercial. We are seeing new clientele coming into our products. As we do that, those that are traditionally interested in hedging, for example, their foreign currency or interest rate risk, are taking a look at some of the asset classes that we offer and we're seeing -- for some low incremental but consistent interest in our commodities particularly in metals and agricultural complex.
Phupinder S. Gill: If I can just add to what Bryan was saying. I think the lack of participation from the so-called high-frequency guidance will be due to the lack of volatility and not necessarily structural changes that might be on the horizon.
Brian Bedell - ISI Group Inc., Research Division: That's very helpful. And then just a quick follow-up on the RPC for ClearPort and energy complex. That's been down the last couple of quarters in that low 150s range versus higher 150s. I know there were some low volume contracts, I think like the PJM Power contract and there was -- a mini-WTI contract that influenced that last quarters. Is that something we should consider continuing for the foreseeable future? Or do you think we'll see a sort of a snap back up in that RPC in that line?
James E. Parisi: It's really hard to say, Bryan, because that -- at ClearPort, there are hundreds of different products with different rates. So oftentimes, that change in that RPC is going to be driven by product mix shift and it's very difficult to predict the marginal changes in that rate going forward.
Brian Bedell - ISI Group Inc., Research Division: Okay. It's inferred that the mix is in favor of current RPC, I guess like into the end of the first quarter?
James E. Parisi: I'm not quite following your question.
Brian Bedell - ISI Group Inc., Research Division: Is it the current mix that would give you the RPC that we're -- for getting for first quarter, is that a trend that's continuing into the end of the first quarter at least that we can sort of base our modeling forward on?
James E. Parisi: Yes. As I said is, it's very difficult to tell.
Operator: Moving on, we'll take our next question from Niamh Alexander with KBW.
Niamh Alexander - Keefe, Bruyette, & Woods, Inc., Research Division: On the Analyst Day, you gave us -- we knew -- some really comments I remember, and one of them -- we were talking about the new Dodd-Frank and the OTC opportunity, but some comments on clients that we're talking about how the marginal requirements for swaps are going to be higher than for futures. So maybe they were thinking about moving into futures instead. And then are you seeing that kind of come through in the form of maybe block trades? Have you any kind of anecdotal or any evidence that you are actually seeing some -- maybe some new customers or people kind of moving out of swaps into futures? And maybe that was what some of the recent headlines were about? Maybe some of the guys in the picture saying as well and they're also happy about it. It didn't seem like any of the block trades that happened on that occasion were outside of the balance of block trades. But I'm just wondering if that's maybe an opportunity we should start to build in?
Bryan T. Durkin: A couple of things. It's Bryan. First of all, we are seeing new business coming into our core interest rate futures from new clientele that originally has been coming in to utilize our interest rate swap OTC clearing services. I would not say that, that is switching business into futures. I would say that it's more augmenting their current risk portfolio. So as they are clearing business through us, they are also looking at the efficiencies in the liquidity provided and the core product for interest rates and utilizing your dollar strips to augment their interest rate swap exposure on the clearing side. With respect to the block trades, I wouldn't necessarily make that correlation. There is a whole host of reasons why our users need to avail themselves to our block trading facilities. That's 1 of 4 platforms for our user base to be able to facilitate and manage their risks.
Phupinder S. Gill: Niamh, this is Gill. Just to add to what Bryan was saying. I think you -- even though you -- we can't tell or we don't know or we would not ascribe the interest and the growth in several of our product lines offering, interest to clients preferring which is OTC. There has been, as you pointed out, a lot of talk, particularly among the asset managers about shifting over to futures rather than OTC forbearers and for these reasons. But that's not evident.
Niamh Alexander - Keefe, Bruyette, & Woods, Inc., Research Division: Okay, that's helpful. And then if I could touch another. We heard some recent comments from -- I'm sorry, a senior politician suggesting about the regulators kind of increasing the budget, which is nothing new, but also suggesting about kind of limiting the leverage that people could apply in the derivatives market. And I guess it turned our heads because supposedly, it was kind of something that they discussed with the regulators that they didn't seem objective to it. So are you having any discussions at all with the regulators about higher margin requirements in the futures market or anything like that?
James E. Parisi: Are you referring to the President's remarks on the margin?
Niamh Alexander - Keefe, Bruyette, & Woods, Inc., Research Division: That would be it.
James E. Parisi: I actually said this in testimony the other day, that the worst thing to do to try to control prices is to utilize FX margins to do so. Margins are there for a risk management tool not to effectuate price. And then there's been multiple studies that, no matter what you do with margins, it's not going to affect the price in the long term. We raised margins on energy, I believe, 5x in the last 12 months, and our oil markets and the price still marched straight up. So what the President -- I think, may be a little bit confused and some of his advisers may be a little bit confused there, when you raise margins when a product is going up, the people that have all the money are the longs, the people that don't have the money are the shorts, and the margin applies to both sides of the equation. And that only exacerbates the problem for the upside if you're going to try to utilize margins as a tool to effectuate price. I think Congress gets that very, very clearly.
Niamh Alexander - Keefe, Bruyette, & Woods, Inc., Research Division: So you are comfortable the regulators get that too?
Unknown Executive: Yes.
Operator: Moving on, we'll take our next question from Gaston Ceron, Morningstar Equity Research.
Gaston F. Ceron - Morningstar Inc., Research Division: Just a real quick question. I know you guys said that you're going to wait until the next quarter to give a little more color on S&P and the DJ joint venture. But I guess one question that I had, just for modeling purposes going forward, is as I think what the impact this might is, can you say, as it stands now, how much of the total revenue did your Dow Jones business that you have today, how much of total revenue did that contribute and what are its margins?
James E. Parisi: The Dow business itself was about $24 million or so of revenue in the quarter, and the margins on that are similar to the margins of the overall company.
Gaston F. Ceron - Morningstar Inc., Research Division: Okay. And it's my understanding that after the JV -- is the new JV is put in place, this will be a below the line type of situation, right?
James E. Parisi: Yes. It'll be below the line and there'll be some adjustment on the license fee line as well, where we're obviously paying some license fees for the JV for those products.
Operator: And we'll take our final question from Matthew Heinz, Stifel, Nicolaus.
Matthew S. Heinz - Stifel, Nicolaus & Co., Inc., Research Division: Just a quick follow-up on the RPC in the rates business. I was just recalling some higher block trades percentages in the quarter that caused a bit of a stir in the press. Just wondering how that impacted the rates RPC? I guess I was surprised to see it down quarter-over-quarter, given that uptick. Can you just maybe talk about what was going on there?
James E. Parisi: Sure. There was -- I mean, when you look at the various mix impacts on the rate quadrant, you're right to point out that the venue mix was actually positive for the rate this quarter as our volume outside the pit proved faster than our regular volumes, our ex-pit volumes grew faster. However, we did see a -- quarter-over-quarter, because of the increasing volumes, the discounts also increased and that more than offset that.
Operator: At this time, that will conclude our Q&A session. I'd like to turn it back over to our speakers for any additional or closing remarks.
James E. Parisi: Well, we'd just like to thank you all for joining us today, and we look forward to talking to you again on the next earnings call in July. Thanks.
Operator: Thank you. That will conclude today's conference. We thank you for your participation.